Operator: Good morning, and welcome to the Cabot Oil and Gas Corporation Fourth Quarter and Year-end 2019 Earnings Call and Webcast. . I would now like to turn the conference over to Dan Dinges, Chairman, President and CEO. Please go ahead.
Dan Dinges: Thank you, Gary, and good morning all. Thank you for joining us today for Cabot's fourth quarter full year 2019 earnings call. I do have the management team here with me today. I would first like to remind everyone that on this call, this morning, we will make forward-looking statements based on our current expectations. Additionally, some of our comments will refer to non-GAAP financial measures, forward-looking statements and other disclaimers as well as reconciliations to the most directly comparable GAAP financial measures were provided in yesterday's earning release. 
Operator: . Our first question comes from Charles Meade with Johnson Rice. 
Charles Meade: I have two questions, both on the inventory. But first, starting with the Lower Marcellus. This is, I guess, more of a housekeeping question. When you talk about 9 years of inventory, is that on the 2018-2019 run rate of just under 100 wells a year? Or is that on the go-forward '20 rate of more like 65%?
Dan Dinges: It's an average of those two, Charles.
Charles Meade: Okay, okay. That's helpful. And then a question on the Upper Marcellus. And I appreciate what you offered in your release, in your prepared comments. But I was wondering if you could take a little bit of time and characterize for us the relative maturity. Or how far how along you are on the path of optimization of your completions there? And if we look back at your history, it's several years ago now, but you guys moved the EUR per 1,000 feet of the Lower Marcellus up a number of times to arrive at the point where you are now. And I'm just wondering how much more optimization, you think there might be left, whether -- you mentioned lateral placement and completion optimization. But where -- obviously, no promises, but where could you see that 2.9% going perhaps in the Upper Marcellus?
Dan Dinges: Well, just a first set of facts on the Upper Marcellus. One, as we've referenced, we've drilled only 50 wells in the Upper Marcellus. Compared to 700 or so in the Lower Marcellus. And in the Lower Marcellus, we still look at efforts and tests on where we're placing the lateral and how we tweak completions. With the Upper Marcellus, we drilled some early-stage Upper Marcellus wells that are in that 50% cap. With those early-stage completions, we were just gathering the data with the completion -- generation completions we had at that particular time. As we have moved forward with trying to utilize what we've learned in the lower and apply it to the upper, we continue to tweak the results we've seen in some of the upper wells. With the -- what we've used in the lower and trying to determine whether or not it's applicable in the upper rock.  The upper, as a point of reference, is anywhere from -- the thickness is anywhere from, say, 140 to almost 300 feet in just the upper. So the lateral placement is going to be important in that thickness of ice pack. We have looked at the laying wells in various different sections of that thick interval. One test we referenced was to look at that deck of interval. And ask -- we asked the question, do we need to stagger and put well in the higher part of the upper and the lower part of the upper and see if we can maximize drainage, effectiveness of return and so forth by doing so. 
Charles Meade: Dan, I appreciate the long -- you call it long-winded, but I'll call it as a lot of useful details.
Dan Dinges: Thanks, Charles.
Operator: The next question is from Brian Singer with Goldman Sachs.
Brian Singer:
Dan Dinges: Okay. I'll now make a kind of 5,000 foot comment, Brian, and I'll turn it to Steve Lindeman. But in the -- our reserve revisions this year, we had our learning curve in the proximal drilling with some of our wells out there on the parent child, kind of in the latter part of '18, beginning of '19. And we have -- when we saw the impacts of that drilling, and we lost some wells not temporarily lose some wells or knock some off with some of the frac hits. We take that learning curve, and we see how we can mitigate it in the future, and that affected some of our PDP revisions down by these frac hits. One of the things that we've been able to do with our learning curve through this period of time, is look at the results of now proximinal drilling in all our future guidance and our program is laid out, taking in consideration that it's all going to be a proximal drilling to existing wells. And the mitigating factors that have helped improve now our expectations versus our initial learning curve is looking at our completion designs. We have looked at the reduction in our fluid levels that has helped considerably.  We've also looked at the increase in clusters per stages that has helped significantly on the offset effects. We are also, as I've mentioned, in the upper, but in the lower also, we're looking at lateral placements to see the impact and benefits of lateral placements where we're taking in proximal development. We have also been using retrievable bridge plugs that has mitigated the impacts on offset wells. We've also tested perforation hole sizes to accommodate our fluid levels of pumping and how we're laying out the cluster. So all of this has helped mitigate the impacts going forward. We did experience through, to your point, about revisions, and particularly on the PDP side, some revisions on some wells, which we took off -- reserves off on some of those PDP. But some of those wells that we've taken reserve off, we really haven't gone back and then work over on, say, a handful of those wells. So that's kind of a higher level, and I'll let Steve add to how you handle some of our reserve bookings.
Steven Lindeman: Okay. Brian, just to divide the revision into categories, we had 420 Bcf of positive revisions associated with our PUDs. That's a combination of drilling longer laterals and increase in what our average booking would be for PUDs per lateral length. And then we had a 350 Bcf negative revision associated with some of the data that Dan's discussed, parent-child relationships, a lot of those occurred in wells that were stimulated in 2018 that we didn't realize the effect or see the effect into '19. 
Brian Singer: Great. That's really helpful color. My follow-up is going back to the Upper Marcellus versus the Lower Marcellus, you mentioned the Lower Marcellus has that 9 years in inventory. But based on some of your comments earlier, is ultimately the lower and the upper going to be co-developed once you fully delineate the Upper Marcellus? And how do you think about that playing out from a percentage-weighting perspective as you guys contemplate a medium- or longer-term plan?
Dan Dinges: Yes, I'll let Phil kind of answer, as he plans the future development. But I would say at this stage, with the development we have right now on, say, the 700 or so lowers and where we're going back on a pad, one of the things you have to keep in mind is when we go back into an area, the amount of volume of gas that comes from a full-developed pad in the lower is -- and will maximize the -- that local area of gas going into our header system, our gathering system. So the marketing group, Jeff, is always allocating, when we're going to bring on a large pad, is always allocating away from that particular area. As we've mentioned in the past, we have multiple options to move gas around. You'll allocate away from that as we bring on those lower wells. But the majority of the future, I think, is going to be developed from the lower and moving up with some mixed in there -- uppers mixed in there to gather additional data points. But I believe that's how it's going to be developed. Phil?
Phillip Stalnaker: Yes, that's correct, Dan. I mean the plan is, like Dan said, is the go-forward is primarily focused on the lower and get it developed out. We will have some upper test again, continue to try to optimize our upper as much as possible, but the plan is really to focus on the lower and then move up to the upper.
Operator: The next question is from Jeffrey Campbell with Tuohy Brothers.
Jeffrey Campbell: My first question is kind of more of a thought exercise, but I'll explain why I'm asking it. The question is if the nat gas market continues to be volatile for years, is it possible to design a contingency program to ramp activity up or down in response?  Or is the efficiency loss such that maintaining a steady state at whatever level is preferable? And I asked this because listening to all the calls most -- every E&P says that their activity can respond to lower prices with lower activity, but the same reticent to increase activity should there be increasing prices?
Dan Dinges: Well, let me answer it this way, Jeffrey, when Phil is, say, looking out ahead for our future programs, we -- today, we need to get out and -- you two, Jeff and Phil can correct me on this, but we need to be out ahead about 3 years, if you will, in order to coordinate the marketing side of our program to allow Williams to have the appropriate lines to evaluate the amount of gas that we're going to be bringing, and I'm talking about a growth program and building up. It's going to be delivering gas at certain areas, certain compressor sites to be able to move the gas without having negative effects of higher line pressure and knocking wells off. So they are way out ahead on designing these pad sites, along with Phil's guys trying to do the logistics on the ground of roads, pad site construction, the permitting side, looking at, of course, the equipment and personnel necessary.  So I would say the ramp-up, yes, it's a hell lot easier to cut off the first strings and head down. It is a little bit more challenging to ramp up less and except if you had maybe stranded capital and you had, say, a frac crew or two teed up, but you weren't going to pull the string on those until a year from now, but you were paying some kind of rate to have them ready and available at that, just in the nick of time. But ramping up is more difficult bottom line.
Jeffrey Campbell: Yes. Well, no, that was a really thorough answer. I appreciate that. And just going back to the Upper Marcellus, briefly. Just kind of a conceptual question here. Particularly with the longer laterals that you talked about, the ability to drill longer ones. Is the expectation that the Upper Marcellus development maybe particularly on existing pads, will eventually provide returns commensurate with the current Lower Marcellus development?  And if not, why exhaust all the Lower Marcellus inventory first, rather than blending them and trying to extend the inventory life of the Lower Marcellus in that way?
Dan Dinges: Well, the well count that we have right now in the Lower Marcellus is -- it's prudent to develop the deeper as opposed -- first prior to the upper, as you might suspect. Take our 2020 program, it's a maintenance program. It's 60 to 70 wells. We have a mix of upper wells in that program. And the -- how many pads do we have in our program for 2020? 14 or...
Steven Lindeman: 14, 15.
Dan Dinges: Plus or minus 14, 15 pads in our 2020 program. And going back to my comment about how we handle the efficiency of development, bringing on the gas, providing the best opportunity for a rate of return, we try to move things through fairly, rapidly. And the development of the lower is -- it's more efficient to develop the deeper. I understand your concept, and as we get deeper -- again, we have, at this current drilling rate, about 9 years remaining in the lower. That's a pretty darn good runway when you think about it. And as we get further out in that 9 years, to your point, Jeffrey, we might develop ways of augmenting more of the upper into the pads that we can -- that we utilize to drill the longer uppers and use that as a tool to maybe fully develop a pad here or there in our program up all the zones as opposed to just the lower and having to come back. That's entirely plausible in the future. Kind of right now, our program, certainly for 2020, is designed for more lowers than uppers.
Operator: The next question is from Holly Stewart with Scotia Howard Weil.
Holly Stewart: Maybe first to Scott, can we just talk about some updated thoughts around returning capital to shareholders, just balancing the buyback, the dividend as well as maybe holding some cash, given we're in pretty unique commodity times?
Scott Schroeder: Yes, all of the above. Again, thanks for the question. We -- obviously, we remained very committed to returning at least 50% of our free cash flow to shareholders. The level -- how much is covered by the dividend is going to be obviously a function of what the NYMEX strip is going forward. But we're looking at it exactly like you said. The other thing I would add in there, which I thought you were going to ask, is we have two small maturities in the next 2 years, and our plan is to use part of that free cash flow to just pay that debt off, which would further reduce our leverage about another $250 million, which, in this environment, makes a lot of sense. But we'll be opportunistic on buybacks when appropriate. But at the same time, I'm not opposed with my bent and Dan's bent to cord a little cash if it makes sense because who knows where the strip is going to end up going.
Holly Stewart: Yes. That's helpful. And then, Dan, maybe the -- you mentioned this legislative change in your response to Charles question. Will it allow you to drill more longer laterals in the lower? I know you mentioned it in reference to the upper. Will that help in terms of drilling more longers on the lower?
Dan Dinges: Yes, it will. And when you look at the lower development case right now where we have pads, where we have wells, the opportunity, because we have laid it out by virtue of the confines, we had in the past when we've laid out the lower that the opportunity to drill longer laterals in the lower is certainly not as readily available to us as it will be in the upper with the limited development that's taken place so far in the upper. But yes, every opportunity that Phil and his guys have a chance to drill a longer lower, we are doing so. In fact, one of these pads, recently, we drilled what was the length of the long -- this last year we drilled?
Scott Schroeder: We just had a total measured depth of 25,800 feet. So that was a record well for us that we just recently have drilled.
Dan Dinges: Yes. That's the exception because of what I just mentioned, but where we have the opportunity to do that, we are making that effort.
Holly Stewart: Okay. Well, maybe just to follow-up on that. You mentioned sort of an 8000 foot average, I guess, for 2019, is it -- will it be much longer than that on the lowers in 2020?
Dan Dinges: No, it will be -- let's see -- Matt, what will it be, Matt?
Matthew Kerin: Our term lines for 2020 are expected to average somewhere north of 8,500, I think.
Holly Stewart: Okay. So modestly a little bit longer.
Operator: The next question is from Josh Silverstein with Wolfe Research.
Joshua Silverstein: Just on the potential -- just to ask a couple of questions on the maintenance levels and CapEx. You mentioned that you could cut CapEx further, depending on where prices are. How does that work if you're currently at maintenance mode right now? Are you willing to go into decline? Do you just reset the maintenance bar lower? And how much CapEx would you be willing to cut?
Dan Dinges: Yes. Our history in the past, Josh, as you might be aware -- particularly, and I think this was during the '16 period when gas prices were extremely low, particularly in the shoulder months. We took a lot of gas off the market. We curtailed over 0.5 Bcf a day, and we're just not going to deliver gas at a -- below our return profile that we would expect and what we'd need to see to be sustainable. So on our maintenance level and looking at rolling forward, we have in our plan for 2020, we started out with 3 rigs, and we currently have 3 rigs at this point in time. One of the rigs that -- and we've guided that we're going to go down to 2 rigs. One of the rigs has been on a large pad, and it's working its way off of that large pad, and that'll be laid down some time in March.  But we're looking at all of our contracts or service contracts that would provide the coverage that our service providers need. But also provide us the flexibility that we need to amend our plan if, in fact, the macro environment dictates, and we would absolutely do that if need be.
Joshua Silverstein: Got it. And then just given the price decline that we've had recently, has this changed your corporate strategy at all about staying a single basin, single asset focused company? Or would you want to add some other exposure? Or conversely, what the basin feeling pain right now, is there opportunity for you guys to add some slowing volume in inventory right around where you are?
Dan Dinges: Well, two-part question. I'll answer the second -- the first. We have always had strategic in boardroom discussions on how we maximize shareholder value. That will continue. We just had our Board meeting this week. We had thorough discussions about the questions that you asked, how do we enhance shareholder value. In all -- every meeting we've discussed the market, the M&A, the activities that are going on in the macro space, the expectation of commodity pricing in the future, both oil versus gas. We look at the oil guys and how they're dealing with the issues that they deal with. We look at the gas guys as on how they're dealing with their programs. And in the Northeast, we look at the -- the area around us is having some very, very good wells.  Chesapeake has drilled some really good wells beside us. And if we could drill those wells, we would and we do also. But to have an M&A transaction, it's just cumbersome. It's difficult up there. They're -- where our area up there is about 100% operated. And the areas that are west of us, they're not 100% operated. There's multiple partners that are in those wells. And that creates its own uniqueness to what you might do if you had those assets or if you're the operator of those assets in the southwest part of the state. You have a lot of production going on in the southwest part of the state. But the balance sheets on some of those companies are admittedly stressed at this point in time. And they have maturities coming up that they're trying to deal with through their programs and having that type of M&A conversation and all just is extremely difficult.  When you look at a dual commodity split that there's circumstances that it would make sense. But you also have to understand the area that you might go into, the capital allocation you'd have in the future, the either accretion or dilution that you might have on that capital allocation. And quite frankly, the -- when you look at the strip price for oil right now and you look at the strip price for natural gas right now, Cabot delivers a very, very good return profile compared to all the wells that are being drilled out there and all the programs that are being drilled out there.  So do I think, at times, it would have a benefit? Absolutely, it would, if we had 2 environments to work in and operate in and also 2 commodities to dial levers in also. But trying to make that come together to get all the stars line up all at one time, it's a difficult proposition. That's why it's not done every day.
Operator: The next question is from Michael Hall with Heikkinen Energy Advisors.
Michael Hall: I guess I was just curious, kind of more broadly on the 2020 program, if there's any particularly substantial changes in just the character of the program as it relates to how it compared to the 2019 program, be it completion design, access to surface infrastructure location in the field? Any other variables note that would maybe make the program a little different.
Dan Dinges: Yes. And I'm going to let either Matt or Phil kind of get their thoughts together on it. But when you look at our program and if you're comparing '19 to '20, if you look at our program, by design, our '19 program as a result of late innings, drilling in '18, we had to answer some of the questions, which I've already talked about, about how we implement technique changes on completions, drilling laterals, things like that to mitigate a proximal drilling. So our '19 program was designed to answer some of those questions, and we had our learning curve and that showed up in some of our numbers.  We've mitigated the numbers that we presented in '19, even though a record year for Cabot. We've mitigated some of the concerns about proximal drilling by what we did. But when you look at our differences in the 60 or 70 wells, we had 25 wells that we designed specifically for the upper to try to get ahead of our program and learn about how we now -- because we had the daylight that the PA legislation created by the PAA decision and now the longer laterals and then working into the opportunity that Josh asked, a while ago, how we can maybe develop the upper in concert with lower. We had a lot of wells, and we were gathering a lot of data in the upper purposely for that program. In 2020 compared to '19, we only have 5 wells designed for the upper. And the placement of some of our wells in our field are also going to be slightly different because in the queue of things when we have pads ready and then they jump all over the field, 2020 program is going to have a less uppers and the locations of the well of the pads that we're going to drill in the 2020 is going to be slightly enhanced in the geographic area that we'll drill compared to '19. So we do anticipate 2020 and a lot of areas is going to be an enhanced program to '19.
Michael Hall: That's helpful color. I appreciate it. And just to be clear, the 25 in the upper, were those all in '19? Or were some of that in '18 and just kind of the productions tailed into?
Dan Dinges: Yes. Drilling, for the most part, started in '18, and then it's both '18 and '19, almost 25.
Michael Hall: Okay, that's helpful. I appreciate it. And then just kind of housekeeping on just the timing of completions. Obviously, you talked about the sequential decline here in the first half. What are the kind of turn-in-line counts look like as we start the year here? Any color you can provide there?
Dan Dinges: Yes. In the first quarter, we anticipate turning in approximately 13% of our total years -- total well count in first quarter. And in the second quarter, we're -- we'll have an incremental 35-or-so percent turned in at various months of the fourth quarter, April, May, June. And then as we referenced -- and that's the reason why we're forecasting our reduction in first quarter, second quarter. And then as those wells that we bring in, in the second quarter, majority impact is going to start in the third quarter. We'll bring on another 30-something percent in the third quarter, and then the fourth quarter, we're kind of scheduled for about 15% or so of our turn-in-line wells.
Operator: The next question is from Kashy Harrison with Simmons Energy.
Kashy Harrison: So just a quick follow-up to the earlier discussions on well performance. So as you think about the 2020 program, should we expect the longer-term well performance to be maybe more similar to 2016, 2017 levels on a lateral adjusted basis?
Dan Dinges: It depends on where the wells are going to be located. If -- for example, if you -- and keep in mind, we have forecast our program to take into account the proximal development, which you can look at development as being drilling a well that is unbounded or bounded by wells offsetting you. And our 2020 program is going to have more wells that have the offsets than our 2016 program.  So on average, you will see a -- say, 2016 to 2020, you'll see about just an EUR basis, an assignment of maybe 10% to 12% less in 2020 than we might have had in 2016 in the lower.
Kashy Harrison: Got it. Okay. That's helpful. And then as my -- my second question, Dan, as you think about just the various forces at work in the natural gas market, once you move beyond 2020, how do you think about the appropriate medium-term gas growth rate in Appalachia and Haynesville necessary to meet incoming demand? Do you think operators need to be growing by 1%, 2%, 3% just to make sure that the market doesn't get out of whack so that we don't repeat a 2020 5 years from now?
Dan Dinges: I scratch my head often, and we have discussions in our boardroom often about the macro environment, the supply-demand dynamics, both in oil and gas. Everybody has their -- an opinion and everybody looks at what's going on in the market and the reasons for it. Everybody has the reasons why they might grow any into a market that we live in today and looking at the realizations that are out there today. And I think the financial numbers by the majority would dictate that if you had a vision that the current strip is going to be what it will be perpetually into the future, to your point, about 5 years, 6 years from now, I don't know why anybody would be drilling wells into -- as a growth measure into this market.  I think it is a difficult to -- for me to sit in every chair out there and the reasons behind it. I do know there's reasons that are attached to debt positions and balance sheet concerns. I know there's reasons why maybe firm transportation arrangements might be dictating how you allocate capital. There has been midstream negotiations and separations, upstream from midstream. There's been changes in volume -- minimum volume and commitments and different things that are affecting decisions out there. We look at it as how we can manage the shareholder value in a way that is going to yield a return.  We've been able to point to the fact that at a $2 NYMEX, we still generate free cash flow, we'll generate an earnings profile and so -- and even us, and there's nobody else that can make that statement. We are at a maintenance level of capital because we don't think it is prudent to drill up all your core inventory and push it out at a losing proposition. We don't think it's prudent to drill even at a marginal return profile and use it all up in this particular environment.  So we're going to keep our balance sheet strong. We're going to manage our dividend. As Scott has mentioned, we're going to manage our debt towers as we have to and will also reduce further maintenance capital and reduce as opposed to have the growth out there in what we see in the current environment and the foreseeable future. So I have a hard time rationalizing why industry is growing into a market today.
Kashy Harrison: Got it. That's very helpful. And hopefully, some of the -- we start to see some of these rigs come off on a weekly basis.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dan Dinges for any closing remarks.
Dan Dinges: Thanks, Gary. Good questions, great questions. I know our '19 had had some noise. In our '19, we're confident about our program. And I hope this has answered all the questions that -- I know that Matt has been fielding all the way into the early mornings. But again, our macro outlook for gas is cautious at this point in time. I do think, just like the last question-and-answer demonstrated, rationalization is going to have to prevail in this market that's not sustainable, and the balance sheets are not sustainable out there trying to push this market and grow into this market.  And we think we are the best position in our space to navigate. We're going to be the last man standing, and we're going to take advantage of our position, maintain our balance sheet, serve our shareholders, hopefully in a way that the long-term shareholders would appreciate and be good stewards of our capital. So thanks, again, for your patience, for our 2019. I hope you all are looking forward to 2020.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.